Operator: Good morning ladies and gentlemen. And welcome to the Synovus Third Quarter 2017 Earning Conference Call. At this time, all participants have been placed on the listen-only-mode. And we will open the floor for your questions and comments after the presentation. [Operator Instructions]. It is now my pleasure to turn the floor over to your host Bob May. Sir, the floor is yours.
Bob May: Thank you, and good morning everyone. During the call, we will be referencing the slides and press release that are available within the Investor Relations section of our website, synovus.com. Kessel Stelling, Chairman and Chief Executive Officer will be our primary presenter today, with our executive management team available to answer your questions. Before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties, and the actual results could vary materially. We list these factors that might cause results to differ materially in our press release and in our SEC filings which are available on our website. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as may be required by law. During the call, we will reference non-GAAP financial measures related to the Company’s performance. You may see the reconciliation of these measures in the appendix of our presentation. Due to the number of callers, we ask that you initially limit your time to two questions. If we have more time available after everyone’s initial questions, we will reopen for follow-up. Thank you, and now I’ll turn it over to Kessel Stelling.
Kessel Stelling: Thank you, Bob and good morning, to everyone and welcome to third quarter earnings call. As is customary, I’ll walk us through the earnings presentation, then we’ll open the lineup for questions to for myself and our other members of our executive team. I’m going to start with slide 3 which provides a summary for the quarter. Just as a reminder, the results for the quarter reflect the $75 million Cabela’s transaction fee as well as the impact from various balance sheet restructuring actions that we’ve completed during the quarter. I’ll walk you through that in more detail on slides 4 and 5. So, diluted earnings per share was $0.78 for the quarter, on an adjusted basis diluted earnings per share was $0.65 up 7% from the previous quarter and up 25% from the same period a year ago. Return on average assets was 1.27% on a reported basis, on an adjusted basis return on average assets was 1.05% up 4 basis points sequentially and up 15 basis points from a year ago. We’ve continued to generate positive operating leverage with total adjusted revenues excluding Cabela’s fee increasing by 12.4% versus a year ago while adjusted expenses increased by 5.5%. On the balance sheet side, we continue to have balanced growth with average loans increasing 1.36 billion or almost 6% versus a year ago and average deposits growing 1.26 billion or 5% versus a year ago. From a credit volume perspective, at the end driven by the balance sheet restructuring actions that we took this quarter, the non-performing assets ratio declined to 57 basis points, a 20-basis point improvement from a year ago and the lowest levels since 2006. And lastly, in terms of capital management and overall returns, we continue to see improvement in capital efficiency with a recorded ROE of 13.24% and adjusted ROE of 10.92% up 184 basis points from a year ago. Adjusted return on average tangible common equity improved to 11.19%, up 44 basis points from the previous quarter and up 203 basis points from a year ago. Moving to slide 4, it provides a summary of the Cabela’s and Capital One transaction that we completed last month. As previously disclosed, this was an opportunistic transaction and it included the assumption of $1.1 billion in brokerage CDs with a weighted average remain maturity of approximately 2.5 years and an average weighted rate of 1.83% which representing a discount to market rates of approximately 14 basis points as of the date of closing which was September the 25th 2017. Again, the transaction also yielded $75 million fee which is reflected as a component of non-interest income. During the third quarter, concurrent with this transaction we initiated various balance sheet restructuring actions which will continue in the fourth quarter. Through the execution of these actions, we expect to generate an incremental 5% earnings per share equation in the 2018 through increased net interest income, lower provision expense and lower non-interest expense growth. And in addition to the financial benefits the transaction we were also pleased to receive the feedback from our primary regulators as part of the approval which was partly lowered it noted the overall strength of our company as well as our financial performance. On slide 5, continuing on the specific impacts of the Cabela's transactions as well as other selected items during the quarter, we will be happy to answer questions about each of these. Let me walk through those again. The $75 million fee the one-time positive benefit which was partially offset by additional items listed on this schedule. The next four items we like to our balance sheet restructuring items, as you'll see provision expense of approximately $28 million relates to the transfer of $78 million in loans consisting primarily of non-performing loans held for sale. Additionally, we've recorded OREO expense of $7 million in the quarter for discounts of fairly value related to completed and planned accelerated OREO dispositions. The $8 million loss relates to a bond portfolio repositioning. During the quarter we sold investment securities totaling approximately $485 million with a duration of 3.7 years and the yield of 1.65%. We've reinvested the proceeds in to securities with a duration of 4.8 years at 2.45 yield. The $1.7 million in asset impairment charges relates to corporate real estate and formal branch locations which we have marked for sale. We now intend to dispose of these properties at an accelerated timeframe which required a discount to the price in order to lead to an early sale. The $2 million increase in our global warrant earn liability is the result of better than expected results and not related to Cabela's transaction. The increase was booked as part of our annual valuation process, we're very pleased with the performance of Global One synergies that have been created with our wealth management business. Since the acquisition just a year ago, total loans have increased by 40% almost $500 million while maintaining a track record of zero principle losses. So again, very pleased with that acquisition. Additionally, during the fourth quarter we expect to incur a pretax charge of approximately $25 million in conjunction with the previously announced redemption of our $300 million principle senior notes that are due in 2019, again that will be recorded in the fourth quarter. Moving to slide 6, you'll see loans grew 1% sequentially and 6% a year ago. The announcement graph represents period end balances. Loan growth of a sequential quarter basis was $56.8 million or again 0.9% annualized. When adjusted to exclude the transfers that held for sale, sequential quarter growth was $135 million or 2.2%. I'll give you a little color on that. C&I loans increased $25 million during the quarter, and growth was driven by strong performance in our specialty areas including senior housing and Global One as well as growth within our community banking unit. That is partially offset by the possibly $75 million bond and revolving commercial line utilization. For the quarter, consumer loans increased $286 million or 21.5% annualized with consumer mortgages increasing $100.6 million or 16.2% annualized. The growth in consumable is broad based with private wealth, position jumbo and affordable mortgage programs all contributing. We also continue to see solid growth in our lending partnerships which increased $216 million during the quarter additional partnership balances required during the quarter due to the expected increase in liquidity from Cabela’s transaction. And again, we remain focused on diversification and credit risk mitigation CRE loans declined 178.3 million or 9.5% annualized for the quarter of the non-strategic categories, 1-4 family and land and development loans decreased by total of $72 million. On a year-over-year basis, loans grew 1.22 billion or 5.3% on a period end basis and again C&I loans increased 718.1 million or 6.5% and consumer loans grew 750.1 million or 15.6% and CRE loans declined by 245.6 million or 3.3% reflecting growth in investment properties of 26 million whilst seeing a $272 million reduction in 1-4 family and land and development portfolios. Total average loans grew a $150 million or 2.4% annualized versus the second quarter ’17 and 1.36 billion or 5.9% versus the third quarter a year ago. And again, we continue to be pleased with our efforts to drive portfolio diversification, C&I loans now represent 48% of our total loans, consumer loans have increased to 23% of the portfolio and CRE loans have now declined to less than 30% of our outstanding loans balances. Moving to slide 7, on deposits, average deposits grew 4.7% sequentially and 5.2% from a year ago. Total average deposits of 25.29 billion increased 295.2 million or 4.7% annualized versus the second quarter of ’17. The growth in average deposits for the quarter included an increase in broker time deposits of approximately $168 million with $72 million net increase coming from the Cabela’s transaction which was on our books for only six days. During the quarter, average core transaction deposits of 18.6 billion increased 194 million or 4.2% sequentially. On a year-over-year basis, total average deposits increased 1.26 billion or 5.2%, similarly average core transaction deposits increased 1.24 billion or 7.1% versus a year ago. Overall increase in customer average balances in our focused efforts to attract and grow positive relationships and the small business and mass and fluid segments have largely driven the year-over-year growth in core transaction balances and again a very disciplined approach to pricing and a shift in mix to lower cost deposits. We’re very pleased to have strong year-over-year deposit growth while maintaining stable deposit cost. Moving to slide 8, net interest income $262.6 million, increasing 11.5 million or 4.6% versus the second quarter ’17 and 16.2% versus the third quarter of ’16. Increase is driven by growth in loans as well as mortgage expansion, you’ll see the net interest margins of quarters 3.63%, up 12 basis points in the previous quarter and up 36 basis points from a year ago. The yield earnings assets were 4.11%, up 12 basis points sequentially and up 40 basis points a year ago. Yield on loan was 4.49%, up 13 basis points sequentially and up 36 basis points from a year ago reflecting the benefits of additional flashing rig as well as a change in mix with the growth in consumer portfolio providing some higher yields. The effective cost of funds again remained unchanged at 48 basis points. Cost of interest bearing deposits increased 3 basis points for the quarter as we've increased deposit rates of various products and segments. However, given our overall pricing discipline deposit rates have remained well below our model levels. In addition, June pay offs of $280 million sub-debt helped offset the increase in the cost of deposits experienced during the quarter and page 17 in the appendix includes additional information on interest rate sensitivity as well as investment securities and loan portfolios. Moving to slide 9, on a non-interest income. Total non-interest income for the quarter was $135.4 million up $67 million versus the prior quarter of $67.3 million from a year ago. Other income includes the $75 million Cabela's transaction fee partially offset by $8 million in investment securities losses. Adjusted non-interest income $68.4 million, it decreased $1.6 million or 2.3% versus the prior quarter and will remain unchanged versus the same period a year ago. Again, a little more detail here, core banking fees $33.1 million declined $1.1 million or 3.2% sequentially and $1.6 million or 4.7% versus a year ago. The second quarter decline was largely due to the $744,000 decrease in SBA gains, partially offset by a $435,000 increase in service charges and deposit counts. On a year-to-date basis, we've very pleased the SBA gained $3.8 million up $1.1 million versus a year ago. Fiduciary asset management brokerage and interest revenues of $21.2 million representing an increase of $541,000 or 2.6% sequentially and $1.6 million or 8.3% from a year ago. The increase was driven by solid growth in assets under management which ended the quarter at $13 billion up 15% from a year ago. And again, our talent acquisition and market expansion strategies are really paying off, they are resulting in new customer wins and continued growth of the business at accelerated pace so really pleased with that. One example of that will be our family asset management unit with year-to-date revenues of $10.5 million up 8% from a year ago and again we're seeing significant growth in new accounts following by new hires within our financial consultants group. Mortgage revenues $5.6 million declined 3% sequentially, $1.7 million from 23% a year ago. Mortgage production was a $165 million during the quarter down 2% sequentially and down 14% from a year ago. The decrease in production is largely due to an overall lower refinancing volume. Moving to slide 10, on non-interest expense. Total non-interest expense $205.6 million, it increased $14 million or 7.2% sequentially an increased 10.6% from a year ago. As we've discussed earlier on slide 5 the quarter included OREO and other impairment charges totaling $8.8 million. Additionally, personnel expense increased on a sequential quarter basis by $4.5 million due primarily the merit increases, higher production rate, incentives, and higher health insurance expense. Adjusted non-interest expense was $194.1 million, increased $2.7 million or 1.4% sequentially, 5.5% from a year ago. Again year-over-year increase and expenses is driven by strategic investments in talent and technology which we believe are paying off. Higher third-party processing expense due to the sourcing fee of our third quarter lending partnerships and the addition of Global One in our run rate through positive operating leverage though you’ll see the adjusted efficiency ratio for the quarter was 58.59% improved from 59.56% in the previous quarter and down from 62.41% a year ago. Moving to slide 11, credit quality you’ll see a similar graph, you’ll see the impact of the transfers to held for sale that I’ve mentioned earlier. Again, we transfer or north to liquidation value approximately $96 million in assets in the third quarter at a cost of approximately $35 million. 78 million of these were loans, 18 million were ORE properties. First graph shows you the NPA, NPL and delinquency trends, the NPA ratio decreased by 16 basis points to 0.57% compared to 0.73% last quarter and up 7.7% in the same quarter a year ago. Over the next three to six months, we plan to sell the 38.3 million in assets that are currently in held for sale which we expect will further improve the NPA ratio. The NPL ratio declined by 25 basis points to 0.40% compared to 0.65% in the second quarter, 0.64% in the third quarter of ’16. the full impact of the transfers is reflected in this ratio since it does not include held for sale as the NPA ratio does. Past due to 0.35%, plus increase of 8 basis points over the prior quarter and over the same quarter of 2016. This increase relates primarily due to the timing issues with several players and does not reflect a trend. Net charge-offs in the second quarter were 38.1 million or 0.62% compared to 0.26% in the second quarter and 0.12% in the second quarter of ’16. Excluding the charge-offs on a held for sale transfers accelerated dispositions net charge-off with a six basis points per quarter, 15 basis points year-over-year well within our guidance of 15 to 20 basis points for the year and we’ll update that in just a little bit. Provision expense for the quarter was 39.7 million, compared to 10.3 million in the prior quarter and 5.7 million in the third quarter ’16. On a fundamental basis, excluding the cost of a held for sale transfers and dispositions, provision expense would have been $12 million and expected increase of approximately $1.7 million over the previous quarter. The allowance for loan losses increased about 1.6 million in the third quarter and 249.7 million with the ratio remaining flat, 1.02%, compared to a year ago the allowance is up $4.1 million and the ratio is down by 7 basis points. Coverage ratios increased significantly given the reduction in NPL, the reserve coverage NPLs at 255% were 336% if you exclude impaired loans versus the expected loss have been charged off. These coverage ratios compared to 156% and 217% respectively in the second quarter of ’17. And again, as you’ll see the charts above, the acceleration of our held for sale and disposition strategy has just further strengthened our balance sheet borrowing VL ratio down to the lowest levels since 2006. These transactions and some great work by our special assets group and a very disciplined approach by our lending teams have really contributed to a much stronger quality balance sheet. Slide 12 again maintains strong capital ratios. You’ll see strong quarter-over-quarter growth in earnings outpacing the growth in risk weighted assets, the CET-1 ratio 10.04% up 2 basis points sequentially on complete basis held to be estimated at 9.87%. Tier-1 capital, 10.41% versus 10.37% previous quarter. The total risk-based capital ratio 12.28% versus 12.24% previous quarter. Tangible Common Equity ratio 8.88% compared to 9.15% in the previous quarter, given the period ending growth and cash resulting from all those transactions. And also, as expected the disallowed DTA continues to decline is now 113 million, down 137 million from a year ago. And lastly, we repurchased approximately 91 million in common shares for the quarter at an average price per share of $42.69, bringing us to right at 136 million year-to-date for 2017. If you combine last year's fourth quarter activities from those in 2017 common shares outstanding are down 1.6% from a year ago. On Slide 13, and this has been our previous presentation just to give an update on our outlook and find the exclude the effects of this transaction. We remain optimistic in delivering our full year financial outlook and we have been trying to isolate Cabela's transaction and synergy of balance sheet restructuring actions from this 2017 guidance. So, go to balance sheet year-to-date results have been in line with our annual guidance given our pipeline activities well anticipated the seasonal growth we expect to continue these growth trends of both average loan and deposit growth in the middle of the 5% to 7% range for the year. Given the balance sheet growth as well as a stable margin fourth quarter remain confident in delivering net interest income growth between 12% and 14% for 2017, and based on performance to date and our expectations for fourth quarter we believe we will close the year closer to the higher end of the stated range. And again, keeping the previous guidance, this assumes no further rate hikes this year. However, we remain in asset sensitive position and have potential upside if additional rate hike occurs this year. Our investments and our execution are being income reducing business, will position us to deliver adjusted noninterest income growth in the 2% to 4% range for the year and again as we guided. Given some softness in service charges and the refinanced noise environment we do expect our performance to fall towards the lower end of this range and it will also affirm our expectations that total noninterest expense will increase between 2% and 4% for the year. But we expect that number to be on the higher end of our guidance. We continue to expect the effective tax rate to be in the 34% to 35% range for 2017. We do think our effective tax rate for fourth quarter is expected to be a little lower than third quarter level due to execution of some new tax credit strategies. We don’t foresee any significant changes in the credit environment or underlying quality in the fourth quarter. We benefited from the balance sheet restructuring actions taken in the third quarter. So, we do maintain an expectation through a net charge off ratio to fall well within the 15 to 20 basis points for the year. And we expect the loan loss reserve ratio will remain above 1%. Lastly as we announced again here, we have authorization for up to $200 million in share re-purchases in 2017, we have completed re-purchases of 135.9 million through the third quarter. And some of our previous quarters aside and timing of re-purchases in the fourth quarter will continue to be a situation on early dependent on a level of organic business growth. Before we go to questions, and I'm sure you'll have many I will just say again we have been trying our best to isolate the specific transactions in the third quarter that you will find of interest and again but our team is ready to go into greater detail on that transaction and the related restructuring activities and what that means for a go forward look. But before we go to your questions, I just want to reiterate, we believe it really was a very busy and solid quarter for our team and quite frankly and exciting quarter for our team as we completed a transaction that many doubted we had the capability. We have a lot of team members working on the fourth or fifth fine conversions to our single bank operating platform. We'll complete the last one in November the last that one we did last was during hurricane weekends. That complements to our team but even better that's good for our customers because it's all designed to enhance the customer experience and set us up for the conversion to a single brand in 2018 which again will provide for a great customer experience and allow us to really leverage our brand as a bank for our communities in the Southeast. So excited about what we'll do in the fourth quarter. We are really excited about how that tees us for 2018, we will find new opportunities for our customers including launching of a mobile and online banking platform, the launch of a new strategy for the total relationship needs of our massive fluent high network segments. And again, most of our efforts into '18 customer focus and will keep our customers and hopefully reflect in our financials. So again, a busy quarter, a somewhat noisy quarter but exciting quarter for our company and we're well positioned to move into 2018 as we finish the year strong. With that operator, we will move to questions from our callers. And our team is standing by.
Operator: Thank you. Ladies and gentlemen the floor is now open for questions. [Operator Instructions]. Our first question today is coming from Ebrahim Poonawala. Please announce your affiliate and what was your question?
Ebrahim Poonawala: I was wondering Kevin, if you could sort of start with just your thought process around the cash that you've received from these deposits. As we think about its impact one as WE fully reflect the CDs at 183, the debt restructuring and sort of your thoughts around the cash deployment. What sort of the exit margins that you're thinking of coming out of all these transactions. And then just the timeline of how quickly do you expect to redeploy that cash into securities and loans?
Kessel Stelling: Ebrahim I'll start with the cash part of that. So, as you saw at the end of the quarter our balance sheet was little bloated, the cash at the fag, little over $1.2 billion. The idea that we will use many of the deposits that we have today is replaced maturing broker CDs that we have in the fourth quarter. we have roughly $500 million of broker CDs that are maturing in the fourth quarter and we'll leverage these CDs to replace those. And in addition to that, we're looking at increasing our earnings assets as a result of having a liquidity. To your point we got a little longer on the curve with these deposits which carry a slightly higher cost than what we have been putting on as a normal brokered CD for us and we will take advantage of adding some additional organic asset generation from those deposits. In terms of the margin, as it relates primarily to the debt, what you should think about is being able to call or redeem that debt in the beginning part of November which carries a coupon of [7 and 7/8s] and as we’re looking today for various options whether we would reissue a full $300 million or we reuse the combination of debt and cash. But we could get a much lower rate than going forward which could create somewhere between 12 and $14 million of NII benefit in 2018 depending on what options we choose. Obviously, that will change based upon the type of debt that we would issue and the size of that but that’s what we’re thinking about there.
Ebrahim Poonawala: Understood. And I guess just switching on to loan growth, just wanted to get your sense I believe Kessel you mentioned the $75 million in pay down and C&I lines of credit. Just would love to get your thoughts around, do you expect a rebound there and just overall what’s your outlook for C&I growth as we think in the fourth quarter into 2018.
Kessel Stelling: Yeah, I’ll let Tim take most of that, but we’ve had declines in utilization. We feel good about our pipelines going into the fourth quarter and hopefully a rebound in utilization but Kevin has a little more color on that. So, I’ll let him speak to that.
Kevin Howard : Yeah, this is Kim. You know that was a lot obviously utilization, that’s been kind of following us for the last two or three quarters. Our expectations in the fourth quarter, is maybe that’s bottomed now a little bit and we think kind of going forward usually we get some seasonality lift in the fourth quarter anyway that’s been several years in a row. So, we expect kind of maybe that’s at least flattened out or bottom down on that this coming quarter. And we’re off to a decent start already. We had good growth and we’ll continue good growth in senior housing, we’ve had ABL as Kessel mentioned our premium insurance has grown as well. We had a small business and community bank growth this quarter, that’s something that’s been sort of flattened down the last few quarters. It seems to be getting momentum going into the fourth quarter into the year. So, I think we will be within our targets, as we stated in our guidance and I think this was just and again you had the held for sale move which was half of that was in the C&I book. Some of the older C&I owner occupied that won't repeat itself the utilization and then a lot of momentum in some of those other areas. So, we now C&I is going to pick up in the fourth quarter and moving into next year, we’re optimistic there.
Ebrahim Poonawala: And just following up on loan growth, the lending partnerships seem to be growing very, very strongly. Do we still want to cap it at 4% of earning assets or do we see that number going higher over the next few quarters?
Kevin Howard : We’ve been really pleased with what we’ve seen from a credit quality, from a return there. We actually went -- we saw the guidance in 3%, we went through that in this last quarter. We’ve felt with the liquidity that we have through the Cabela’s transaction if we actually did a little bit more in that area than we have previous quarters. So, we’re in that 3 and a little over 3.5% I think right now but the way we see that is we’ll evaluate that quarter-to-quarter and what we’ve seen so far, we’ll probably continue that momentum. I can see maybe sometime next year that being sort of a mid-single smart for us in the portfolio. So again, we’ll evaluate that and keep you up to date. But we are optimistic there as well that we'll continue to grow in those areas. As part of our consumer strategy as we mentioned over the last few years we have wanted consumer to be a much bigger part of balance sheet than it had previously and I think we are up to around 22% now and we were 15-50 just four or five years ago. So that and a strong mortgage franchise has helped us get us there this point.
Operator: Our next question today is coming from Tyler Stafford, please announce your affiliation then pose your question.
Tyler Stafford: Tyler Stafford from Stephens. First one for me just on expenses, just a clarification question in terms of your outlook for the year, I'm looking at Page 42 on your slide deck. It looks like the expense range for 2017 with the 2% to 4% expense growth is on the 2016 GAAP expense base. So that 771 million to 786 million range is a GAAP expense number which I think would imply a nice step-down in the 4Q adjusted expenses. And I just wanted to make sure I'm thinking about that correctly?
Kevin Blair: Tyler its Kevin Blair I'll take that. So, when you are looking at Slide 42, I think the most important thing is to know just where we are, we are using the GAAP numbers. So, its total reported. And ensuring that everyone backs out what we consider to be the three transactions that were associated with the balance sheet restructuring the 7.1 and OREO the 1.7 in facilities marks and then anticipated $25 million cost for the redemption of the security. So, if you back into that number that would suggest that for the year in the fourth quarter we would have a number from a stated standpoint from a GAAP standpoint, there would be somewhere in the 195 to 200 million range which would put us as we kept return towards the higher end of our stated range.
Tyler Stafford: And then just secondly, you mentioned the lower provisioning going forward given the restructuring you did this quarter. Can you give us any framework to think about the benefits to the provision line item that you would expect to see and Kevin, could we expect to see any allowance release going forward as a result?
Kevin Howard : Its Kevin Howard, I'll walk you through that. I mean I think in the fourth quarter we are not giving really any specific guidance on the quarter. We do expect a slightly our provision would be lower than the third quarter obviously with the actions we took in the held for sale activity we have that drag on our provision that has been therefore few quarters so we do expect that to get a little better. As far as 2018, I mean we have expected an increasing provision primarily due to less recoveries, expected loan growth, potential increase in the long loss reserve, and really and expected normalization of credit cost associated with all the consumer loan growth we have had over the last few years and that’s sort of normalized. I'll say, I think now with the liquidation of most of our OREO and movement of so many loans held for sale, I think that will help offset that. And I think that an increase could be maybe just modest, but not as much as we anticipated. I'll go ahead and just kind of tell you what we are thinking of charge-offs as well our early thoughts on '18 as we originally expected to see an increase in charge offs. We sort of teamed that up. I think again that is sort of cleaning up some of the older drag on credit cost, thinking it look more like '17, it stays in that 15 to 20 basis points. The loan loss ratio assuming a credit environment that doesn't change. It's more likely to be now flat mainly slightly down but I've got flat there. And of course, then as how we see it today and we'll probably got more specific in '18 in a later date or maybe the next earnings call.
Operator: Thank you. Our next question today is coming from a Brad Milsaps. Please announce your affiliation and then your question.
Brad Milsaps: Hey, Kessel, obviously not surprised you guys used some of the gains to clean up some credit this quarter, but maybe a little surprised that maybe the severity of the hair cut that you took on some of the loans to without particularly considering. It looks like it came mostly out of the owner occupied CRE bucket as well as the consumer mortgages. Just kind of curious, what was -- was it to say we could be more aggressive because we had the gain, or did you clear yourself out of some segment that was really problematic at this point in the cycle that sort of drove that kind of larger severity there?
Kessel Stelling : Yeah, we'll tag team it, I think it was not cycle driven. If anytime you decide to accelerate and move things in a little more rapid fashion, the haircuts going to get us a little more. Kevin, you can talk about these specific asset class that was in those loans.
Kevin Howard : Yeah there is no question a lot of owner real estate that we had is difficult to move. And we been real efficient about moving assets. We haven’t done a big sale in 2012 we've always expect -- we've always said we wanted to be efficient with that and not get in a hurry and work at there and work it down overtime, the opportunity that we're going to be opportunistic about this opportunity with the transaction obviously made us think about the next few quarters. And what we've been selling. And just sort of almost clean up the old assets left in the recession. And it wasn’t a lot of community owner occupied, there was a lot of older buildings that we've owned for a long time, there was a lot of land and development in there as well. And it was an opportunity and it's not only the cost associated with marking those down but it's also almost soft cost it does with it. Just paying taxes, it’s the moving the grass, it's the maintenance, the order and appraisal every quarter that we have to mark those assets and make sure they're bagging it appropriately. And we just wanted to be more aggressive kind of look out over the next few quarters, talk about what we thought we would sell and just go ahead and get that to a value that we felt would clean that up. and we plan to move most or all of those assets over this quarter or the next quarter. We won't get in a big hurry there, but I can see with their mark where we can move much quicker.
Brad Milsaps: Okay, that's helpful. And maybe just one follow up. On your accretion guidance related to the transaction all the transactions you undertook this quarter with the repositioning and the gain and DMPA sale et cetera. Is that accretion incrementally on top of may be what folks have already assumed or is that sort of your view of the transaction in totality? Just trying to get a sense of that. Is that 5% number on top of kind of what might already be assumed out there?
Kevin Blair: Brad it's hard to say what -- it's Kevin Blair. It's hard to say what each person would assume in their consensus. So, 5% is of our internal forecast. I will tell you though that in general total consensus is not far off from our forecast. And I want to break down that 5% just so that everybody has clarity around that. We've already talked about the debt extinguishment and the ability to benefit from the range of 12 to $14 million just by replacing that with cheaper debt. We have already executed on the bond portfolio repositioning and Kessel mentioned that in his talking points but we’re able to reposition little less than $500 million and pick up 80 basis points on those bonds. Kevin talked about the reduction in provision that we’ll see next year and being able to maintain charge-offs in that 15 to 20 basis points range in keeping the reserve fairly flat. And then he also noted that we would be able to save some other operating expenses associated with the OREO properties. So, when you add up those three segments or those four components, that’s how we get to the 5% and I really can’t speak to what others have put in there. Its incremental to what we had in 2018.
Brad Milsaps: And just to be clear, you said that your forecast was pretty closed to kind of where numbers were and so this could be incremental?
Kevin Blair: Yeah, I mean again I’m trying to pick. I think we’re all in the same ballpark.
Operator: Thank you. Our next question today is coming from Jennifer Demba. Please announce your affiliation and then pose your question. Just a moment. Jennifer your line is live.
Jennifer Demba: Thank you. Kevin, just a follow-up question on asset quality, could you just talk about the composition of the rest of the non-performing loans, 97 million or so in terms of granularity, your composition? Can you just give us some rough idea of what’s left?
Kevin Howard : Yeah, I’ll take probably about half of it or a little more than half in C&I space. It’s a lot of smaller business and I think it it's some loans we can work through without the disposition. The disposition is one of the last resort quite frankly and they sort of left, what was left was things we felt and there is certainly there will be some pain in there but things we could have a more likelihood to work out without going to dispositions. So right now, it's about actually two thirds is in the C&I bucket, only about 11 million left in the real estate and about 20 to 25 million left in the consumer which most of that is some mortgages that might go the disposition route but most of the other things we think will work through without having to do that. And that’s something, that’s not our desire to try and work with the customer and working through tough times and not having the last resort going through the disposition side.
Operator: Thank you. Our next question today is coming from Brady Gailey. Please announce your affiliation, then pose your question.
Brady Gailey : So, you all did a good job of laying out all of the different balance sheet restructuring actions that you took in the fourth quarter. I know that going forward you still have some loans in OREO, you want to sell as a part of this. But is there anything else on the action list to do from a balance sheet restructuring point of view or is it all pretty much been done?
Kevin Blair: What we plan to do is done right and it is a constant evaluation quarter to quarter in in terms of opportunities of whether its branch rationalization, corporate and real estate activity. So, there is no hold back this quarter but it’s an ongoing evaluation process. But I think what you would expect will be reflected in this quarter again not just because we have the ability to do it, we thought it was a light economic decision given our overview on activities here. So again, constant process but using the bulk of it.
Kessel Stelling: And 25 million in debt obviously will happen next quarter, but we have stated that obviously.
Brady Gailey : And then Kevin on the margin. As we look to fourth quarter it seems like we are going to have a couple of moving parts in those directions with the bond yield going up a little bit and the debt payoff and then also the dilution from the deposits on the cash. How should we think about the margin in the fourth quarter, and is the right way to think about it is it should be pretty stable here at the 363 level?
Kevin Howard : What we said is if the stable margin I think Kessel said in his talking points. You are spot on in looking at the components, we are going to get a benefit from paying off the debt. There is going to be a little bit of dilution that happens just as a result of bringing on that cash. But we want to be -- the velocity of being able to use that cash I mentioned earlier paying off the $500 million of maturing broker CDs we also estimate FHLB wholesale funding that we can also eliminate. So, we are going to be as expedient as we can in deploying the cash and get the benefit. We haven’t talked about a rate hike in December but obviously if we get a mid-December rate hike we start to see LIBOR rates move sooner so we can get a basis point on that if that were to happen. So, I would say it’s a stable fourth quarter margin.
Operator: Our next question today is coming from Michael Rose, please announce your affiliation then pose your question.
Michael Rose: Yes, Raymond James. Just wanted to get your thoughts on capital and buybacks beyond this year. I think most of us assumed you will finish out the program and the DTA is obviously continuing to wind down but your capital levels are still pretty strong. So, given where you are trading I mean should we expect continued buybacks as we move into 2018 and beyond?
Kevin Blaire: Its Kevin Blaire. The way I would think about it is that our pay off ratio is as we had this years in the mid-70 range I think that’s a comfortable level for us going forward. And as we look to produce the capital plan for our regulators and also that we will share with the investors in the first quarter of next year. I would anticipate continuing to have share re-purchase as one of the levers we have to manage capital. We have been very clear that we want to make sure that we use our capital first and foremost on organic growth which means if we want to continue to fund the loans business both in the community corporate, SDS and retail part of the house. But as we have additional capital and we have been clear where we think we have additional capital we would continue to use share re-purchase as a way to distribute that capital back to the shareholder.
Operator: Our next question today is coming from John Pancari, please announce your affiliation then pose your question.
John Pancari: Evercore ISI. So just given the color that you gave us around expenses, could you just help give a little bit of thought around how the efficiency ratio could stack up for the quarter as well as how you are thinking about the trajectory of the ratio as we move through '18?
Kevin Blaire: John its Kevin Blaire. We obviously expect the efficiency ratio to continue to decline. We feel like the revenue growth that we have and we know it's a positive operating leverage of having revenue growth in excess of the low teens and expense growth in the 4% to 5%. So, we expect efficiency ratio to continue to decline. We'll give more guidance as we enter '18 in terms of what our next year goal be on the efficiency ratio. But we see no path forward that doesn't include continuing to maintain a level of positive operating leverage which should mean that the efficiency ratio continues to decline, at what pace will be determined in how fast revenues growing and how fast the rates are being changed from a tightening perspective. But we continue to see a path forward of a lower efficiency ratio.
John Pancari: Alright, Kevin. Thank you. And then I got on the call late so sorry if I missed this, I heard your margin commentary for next quarter in terms of stable. How are you thinking about trajectory beyond that? I know you didn't formally give guidance for '18 yet, but just trying to think about how the dynamics all play out in terms of eventual upward pressure on deposit cost but also the benefit of higher rates? And then did you comment yet at all on your expectation for deposit beta? Thanks.
Kevin Blair: No, it's good question. Look on slide 17, we give you our asset sensitivity positioning. And what we would say is that moving forward even in a plus 100 we have close to 4% upside in NII. And so even modeling and much more what I would consider aggressive beta and that's an area where we're modeling close to 60 to 65 betas. We're still seeing continued expansion of the margin and growth in NII. As we look into next year we talk a little bit about the impacts of the Cabela transaction we talked about the benefit from the bond repositioning that we undertook in third quarter we talked about the debt extinguishment. That's going to give us somewhere $40 million to $80 million of additional NII just from those actions. So that should create a little bit of accretion to the NIM. But it's really going to be for next year as we give the guidance, we'll give guidance without rate hikes again, not knowing whether that's going to occur or not. We still think there is upside to that, but you nailed the one criteria that will determine how much it is and deposit betas. On slide 17 for the next 25 rate hike we actually have increased the deposit betas closer to 40% versus the low single teens that we have or the low teens that we had this past quarter. So, we do expect the incremental benefit from each rate hike to diminish a bit.
Operator: Thank you. Our next question today is coming from Jared Shaw. Please announce your affiliation and then pose your question.
Jared Shaw : Hi, Jared Shaw with Wells Fargo Securities. Good morning. I am just following up on the commercial loan growth trends. Can you tell us what the utilization rate moved to and what you're expecting as a normal utilization rate? And are you surprised that the commercial growth has been as low as it has been or is that not really a surprise for you?
Kevin Blair: This is Kevin I'll take that. The utilization rate, we were in around the 43 to 44 range. For us we'd normally -- and it could be -- every bank's composition of their C&I portfolio could be different ours is little accretive. There is a mid to upper 40. And that's a big number if it moves down and I think it's moved down 2% to 2.5% close to there during the year and that's about $3.5 million working capital that's -- when we talk about utilization of our existing customers that are with us at the beginning of the quarter, at the end of the quarter and that's what we're kind alluding to and that's been down. We thought this year going into the year quite frankly that that might be at least part a little bit up. We can speculate, we’ve talked to a lot of our, it’s a little bit of the same story, wait and see some of it is customers using cash, their balance sheets are stronger, they are using cash versus debt in some places. There are some of talking one of our line leaders this morning, there is a lot of people have generated capital and again are paying down debt whether capital cash whatever they’re using. So, any ways that’s been down a little bit. We do think that sort of picks back up or at least bottoms out so we hope so that might be one surprise we’ve had. Right on the other side, is we had an abnormal amount of pay offs on the CRE side this quarter. And some of that drop was done close to 200 million of a decline, that’s unusual. Saw some of that attributed to the held for sale actions we took. A lot of it was the investment real estate, you know we kind of felt that will be closer to breakeven. We have sort of our selection move shopping centers have sort of been declined in there by our choice. But on the multi-family side, we normally average probably in a given quarter, I was talking to my real estate team yesterday, 75 to a $100 million in pay-off, just a highly liquid portfolio we underwrite to pay-off, it was over 200 million this quarter and that sort of decline in multi-family of close to 90 million. That contributed probably as much as anything to our best off real estate which is usually a little bit positive. Our net growth was down this quarter, I don’t think I'll see that repeating itself on a regular basis. I think it was a timing issue on the CRE side. I’m not saying we’re going to be able to growing it robustly but our kind of mission there is the kind of to stay even and it was a pretty significant decline this quarter. So, I kind of attribute this quarter as a timing quarter and again we’re just -- things we’re seeing and discussing with our lines of businesses that we see a pretty good quarter coming our way. In loan growth, and that’s our outlook right now moving into the next year.
Unidentified Analyst : Okay, thanks and then I’m sorry if I missed this in what you said but when you look at the loans that -- the remaining loans that you think could solely restructured, have you already taken a credit mark on those or would that occur as you actually get a market price and sell them?
Kessel Stelling: You’ve talking about the loans, Jared they are moved into held for sale.
Jared Shaw : I guess does the held for sale balance reflect ultimately everything that would be sold or is there still going to be more transition? So, I guess it’s a two-part thing. The ones that are already held for sale, have those been marked with an assumed credit mark? And then will there be more moving into held for sale?
Kessel Stelling: There can always be, I mean we’ll have future inflows that we will move and mark as normal process, what this transaction helped us is really get rid of some of the older ones that have been around a long time, has a lot of older needs. And yes, we’ve marked those correctly over the held for sale as we stated.
Operator: Thank you. Our next question today is coming from Emlen Harmon. Please announce your affiliation and then pose your question.
Emlen Harmon: JMP Securities. Good morning. Just on the asset sensitivity, you know we did see that increase this quarter in your 100-basis points scenario. Does that command a little bit as you start to reinvest some of the proceeds from Cabela’s on the longer end or just what were the drivers of the pick up there?
Kevin Howard : It was just that Emlen, it was the fact that we brought on that billion one that was fixed rate, that was a little longer than the two-year duration, so that’s what increased the asset activity.
Emlen Harmon: And you saw that come in a bit as you start to deploy some of that liquidity?
Kevin Howard : So, we think about it relative to second quarter where we are roughly 3.2% up 100, we are at 3.9% today. I think as we start to deploy some of that you would see that moderate closer to the 3.2, obviously the 3.9 being a high-water mark.
Emlen Harmon: And then just one quick one on the -- through your expense outlook can see what the midpoint would imply the expenses are down quarter-over-quarter in the fourth quarter. Is there like a fair amount of variability in the outlook for the fourth quarter just based on the range that you gave us, how much of kind of the low end versus the high end of that as related to core versus noncore items? And what could be the drivers of hitting one end or the other?
Kevin Howard : Are you talking specifically about expenses?
Emlen Harmon: Yes sorry.
Kevin Howard : Yes, look, as I earlier in the call I think you would expect to have a number somewhere around 195 to 200 which would push us towards that high end of the range. And the drivers even have a range that large as there is a lot of discretionary expenses that we have on a quarterly basis that would include marketing -- those are the type of items that are probably the most volatile, and that’s what will determine where we fall within that range. But as Kessel said in the guidance, we do expect to be towards that higher end of range.
Operator: Our next question today is coming from Steven Alexopoulos, please announce your affiliation then pose your question.
Steven Alexopoulos: JPMorgan. I want to follow up on the adjusted expenses coming into the upper end of the 2% to 4% range. Is there something you need to 2017, why wouldn’t expense growth continue with this pace even beyond 2017?
Kevin Howard : it’s a good point and we will give 2018 guidance. When you think about 2017 there are a lot of items in there that are recurring and some of them that are onetime. We had some specific expenses related to single banks that were built into this year Steven, which obviously as Kessel mentioned we will finish the final wave in November. We have also increased some project related expenses as it relates to our technology enhancements, out ATM networks. So, there will be certain things that will have this year that maybe part of our capital plan that we wouldn’t have to do in the future. From a staffing and salary perspective there were some things that on a year-over-year basis have driven up our total expenses including 20% increase in employee benefits associated with healthcare. I would like to think going forward that we won't see that type of increase. So, you and I could walk down each line item there is kind of give and takes on each one I would think long term and we will get guidance we have said in the past that 2% to 4% range is not as important to us as the operating leverage. And we want to make sure that moving forward that if we have revenue growth of 10% it allows us to have up to 5% expense growth that will allow us to reinvest our business. If revenue growth is a little wider than that then we need to dial back our expense growth to match that to maintain that two times operating leverage.
Steven Alexopoulos: And maybe Kessel what are your current thoughts on bank M&A here as a tool to improve and get further efficiencies?
Kessel Stelling: Yes, Steven that hasn’t really changed. We said all along our focus was internal and on improving our internal turns and hopefully leading to an increased currency value we have been very diligent in our process. We have looked at opportunities and again we'll highlight the non-bank in Global One again a part of very, very disciplined process with a lot of opportunities to come to that. And then come back to the Cabela's transaction which was not strategic but opportunistic and we look at that one as a chance to onboard over $1 billion in deposits at a 14-basis points discount, we could accelerate some balance sheet restructuring activities, the bond portfolios, the loans OREO disposal some corporate real estate. And we come out of it, we have a stronger balance sheet and a lot more earnings power. So, we take that into our consideration as we go into 2018, there will be opportunities there, that we set all along. We don't have to do a full bank M&A deal to continue to improve our operating performance and I think the proof of that is in what we've done. But it doesn't mean we won't look and it doesn't mean quite frankly that others haven’t sought us out. So, we have the capital to do it and we have the horsepower to do it. I think we have the regulatory standing to do it as evidenced by the approval of the Cabela's transaction, but internally our appetite is the same and that is that if it makes strong strategic and financial sets we would look at it. If it doesn't we'll continue to invest in our own people and people from other banks and teams of people from other banks and it has been so far, I think the right approach and we'll continue to look at it that way.
Steven Alexopoulos: That's helpful Kessel. If I could squeeze one more in. You're not working with much of a tangible book multiple. I hear that you're very selective with M&A deals. But if you were to pursue a deal, how do you think about acceptable range of tangible book earn back like a period?
Kevin Blair: I'll take that Steven. So, what we said in the past that anything that exceeds five years is something that we wouldn't want to look at. And so, our currency today is rating at two times. Obviously, that would limit who we would look at. But there is not a fixed target, Kessel mentioned it's a financial equation but it's also strategic equation. But we're not going to go out there and do something that's five year plus earn back and try to convince the street that it was a good financial transaction.
Kessel Stelling : And Steve I'll add to that, and even if it was a three or four year earn back if we don't think it's a good colorful fit if we don't think it adds a lot of value, we're not interested in doing a deal just because we can say it was a short earn back or may good financial set. It's got to make sense on all fronts, and I think that's why we stayed the course so far and we'll continue to evaluate opportunities based on kind of the parameters Kevin laid out.
Operator: Thank you. Our next question today is coming from Nancy Bush. Please announce your affiliation and then pose your question.
Nancy Bush: NAB Research, good morning gentlemen. I have a question for you on the acquired brokerage CDs. Do these tend to be primarily commercial CDs or retail CDs. If you could just give us a little color on that?
Kevin Howard : Yeah these are largely institutional CDs, it's coming from other banks and institutional clients. So, these are not consumers.
Nancy Bush: Okay got you. And secondly, in this process, you obviously I mean this process took a while, you're obviously dealt with Capital One and established a relationship there. Do you see any sort of future opportunities with them?
Kessel Stelling: I wouldn't speak specifically Capital One Nancy. They're great institution, our company has a very long history with them, but this most recent transaction is limited to great transaction specific. Again, I think we were pleased that we have standing in the industry both with other companies and regulators to maybe play a part in helping this transaction happen but again I wouldn’t speak to any future opportunities there but we certainly like this transaction.
Nancy Bush: And if I can just ask if we could go back to the issue of the assets upon which you took resolution issues this quarter. Could we just get a very rough sort of percentage breakdown of sort of what was pre-crisis and what was post-crisis in that bundle of assets?
Kevin Blair: We took our best guess as to how we’re looking at that vintage the other day Nancy, this is Kevin. Two thirds of it was crisis assets, about a third happened over the last two, three, four years ago and there is very little obviously that’s happened over the last year or two and those are the ones we’re trying to work through but two thirds of that.
Nancy Bush: In the after-crisis assets, was there any sort of common denominator that you can find? I guess we’re just sort of looking at okay why did these go into the pot?
Kevin Blair: It was a small number, it would be a small a business probably in there I know that’s in there. Not much real estate because we’ve had knock on wood very little influence coming out of a real estate over the last couple of years and so it's going to be some small business owner occupied type properties as well.
Operator: Our final question is coming from Chris Marinac. Please announce your affiliation, then pose your question.
Chris Marinac: Thanks. Big Partners in Atlanta. Kessel and Kevin, the adjusted ROA is as strong as been in many, many quarters. I’m curious if this measure is something that you’re more focused on and will the trajectory of the ROA be even better than that in future quarters?
Kessel Stelling: Yeah, great question. We have been and I we’re focused on a lot of other metrics as well, we’re pleased to see the improvement of return on average intangible common equity as well. But the ROA was going to rally in 0.4 our team because we were someone for so long. We made very clear that to get north one, we had to get there and our team is going into 2017 and I will I say our team our entire team that was a non-negotiable corporate financial goal that everyone can play part helping us achieve. So that was one of a psychological victory for us when we hit it but it certainly wasn’t an end point. We made very clear, that was just not even a pause along the journey, maybe just attaboy along the journey and pleased to see again adjusted go to while we think that can continue to move. So, it is one metric, it's one of many that we and our board look at and I know again you and some of our other investors are looking at a lot of other metrics as well. But you know again I’m pleased to see the trajectory there.
Operator: We have no further questions in the queue at this time.
Kessel Stelling: Alright, thank you operator and thanks to all of you on the call to our team for executing on the results that allowed us to have this call and we appreciate that to all our shareholders who dialed in and to all of you that follow us. Again, it was a noisy quarter, it was a busy quarter but at the end of day it was a really good quarter both in terms of core fundamentals and the completion of a transaction as long term strategic financial benefits. So, we're pleased with it, we’re excited about the fourth quarter, we finished the year strong and again moved to this unified plan in 2018. So, thank you all for being on the call and hope you have a great rest of the day and great rest of the week.
Operator: Thank you, ladies and gentlemen; this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.